Operator: Good afternoon, ladies and gentlemen, and welcome to the Preliminary Results 2025 Conference Call of Raiffeisen Bank International. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl: Good afternoon, ladies and gentlemen. Thank you for joining us today. We are happy to report a good set of results for the fourth quarter and all in all, a very satisfactory full year 2025. . We finished the year with a consolidated profit, excluding Russia of EUR 1, 443 million, and a return on equity of 10.6%, slightly ahead of our guidance. The business year 2025 was again impacted by litigation provisions in Poland, although to a lesser extent than in previous years, and we expect further improvements here in 2026 and beyond. When we look at the future of the group and what it is capable of achieving as we exclude Russia and the legacy portfolio in Poland, what we see is a bank that achieved a 13.4% ROE in 2025. We are confident that the underlying business model is strong, that the balance sheet is healthy and well capitalized and that we are ready to grow for years to come. We finished the business year 2025 with 6% loan growth in line with our guidance. And while the first 2 quarters were slow, we are encouraged by the momentum that has built up in the second half of the year. We start 2026 in full swing with a solid CET1 ratio, improving liquidity costs and most importantly, good demand from our customers. Moving to Slide 6. We're happy to share with you the dividend proposal for 2025. With EUR 1.6 per share, we would like to see our shareholders participate in the good results of the past year. Please note that this is, of course, subject to the audited figures and will be voted on at our Annual Shareholder Meeting on April 9. RBI Supervisory Board has also announced changes to the Board of Management in 2026. First of all, Michael Hollerer will replace me as CEO for the first -- from the 1st of July. [ Magi ] knows RBI inside and out. He has previously held the role of CFO at RBI and prior to that, headed our Asset Management business. As for me, I will be turning 67 and with my mandate expiring in February next year, I'm happy to hand over at this time. RBI is in great shape and ready for growth, and I'm excited to see what the future holds. The Supervisory Board has also appointed Kamila Makhmudova as CFO and member of the Board of Management since January 1. Kamila has been with RBI for over 20 years and most recently was our CFO in the Czech Republic. Prior to that, she led our internal M&A and corporate development departments. Finally, the Supervisory Board has also appointed Rainer Schnabl to the Board of Management effective of March 1, where he will be responsible for corporate and investment banking products and solutions. For the past few years, Rainer was the CEO of our Bosnian subsidiary and prior to that, CEO of our asset manager. In the coming weeks and months, I expect you will get the chance to meet this accomplished new leadership team, and I'm certain that you will be as excited as I am about our future. Moving to the next slide, where we can show the good progress in the rundown of our Russian business. First of all, in terms of loans to customers, we finished the year having reached the targets that were set. Going forward, there are no new targets, but more importantly, all the measures and restrictions that we have implemented will remain in full force. This goes for our loans, for payments, for deposit collections, for liquidity investments and so on. Accordingly, you can expect the rundown to continue, and we will continue to update our regulators and investors on the progress. You can see how this rundown, which started on day 1 of the war and accelerated in 2024 has transformed the balance sheet in Russia. As of year-end, there was nearly 30% more equity than loans on the balance sheet. The loan-to-deposit ratio is now below 30% and the LCR above 500%. While the rundown remains our base case scenario, we do continue to explore transactions with interested parties. So far, we have not been able to identify a structure which meets the requirements of the local authorities, but we will not give up. And on the litigation side, I'm sure you are aware that a second court decision in December in Russia led to a further EUR 339 million penalty to be paid by our Russian subsidiary. This penalty can be added to the value of our claim for damages in Austria now equivalent to EUR 2.4 billion. And as to the Austrian claim and court proceedings, there's little I can say today. We have not filed it yet, but we will absolutely do so at the time of our choosing. The other option, which is to see our claim for damages satisfied in the next EU sanction package remains in discussion. I do not want to exaggerate the likelihood of this year today as it remains unlikely even though this would be in everyone's interest, not least of which our European partners. Let us now move to the next slide, the quarterly development, starting with the main revenue trends on Slide 8. Net interest income is broadly stable quarter-on-quarter and up slightly year-on-year with some modest interest rate headwinds throughout the year and the large part of the loan growth coming later in the year, we are satisfied with the stable development. More interesting, however, is our outlook for 2026. For one, these interest rate headwinds should become more neutral or possible even turn supportive. And more importantly, the good momentum in the loan growth is visible from the very beginning of the year and contributes to an expected 5% or so NII improvement this year. Fee income continued to tick up nicely in Q4, and we finished the year just over EUR 2 billion, up 8.5% versus 2024. Looking ahead, our initial guidance for 2026 is around EUR 2.1 billion. On Slide 9, we show the balance sheet development, and this is encouraging. I have mentioned the good loan growth and it's always good to see that it is being driven by key markets, including Czech Republic, Slovakia and Romania. In mortgages, specifically, we also see good progress in Hungary where retail expansion is important to our business mix. More importantly, corporate business in GC&M has picked up nicely, and the pipeline for 2026 looks equally promising. On the liability side, we see further deposit inflows and notably mid-single-digit growth in retail deposits in our network units. Slide 10. I'd be short. Liquidity ratio remains solid across the group, including, of course, in each of our key markets and in head office. Turning to Slide 12, our CET1 ratio, assuming a worst-case scenario in Russia, with 15.5% at year-end, we slightly exceed our guidance. I should also draw your attention an increase to an increase in the Russian op-risk RWAs with January 1. You may recall from previous presentations that in our worst-case scenario, we do not assume immediate derecognition of the op-risk RWAs stemming from the Russia business. The reason for this is that op risk is calculated on the group, fully consolidated basis and not booked at the individual unit level. This means that in any part of the -- if any part of the business is sold are deconsolidated -- the relief on the corresponding op-risk RWAs is not immediate. In 2025, we had agreed with our regulator to cap the Russian op risk which was retained in this price book zero scenario. This agreement expire at year-end and from January, we had recognized the full EUR 3.9 billion RWAs. The effect of this increase is around 29 basis points meaning that our CET 1, excluding Russia, is at 15.2% with January 1. On the right hand of the slide, you will see our capital stack also under the worst-case scenario in Russia. The AT1 bucket does not reflect the note, which was issued in January and where we added EUR 150 million to our AT1 stack all else equal. On the next Slide, 13, our CT1 ratio guidance for 2026, always under the assumption of a worse case in Russia. No surprises here. We continue to steer the bank to around 15% and above. Now let's jump to Slide 15, the MREL and funding plans. On MREL, first of all, with the start of the year, we have a subordination requirement of 26.71%. Considering the own funds in our AT1 capital stack. This new subordination requirement does not change our issuance plans. We have also issued a few senior nonpreferred in previous years, which add to the buffer year. I mentioned a moment ago AT1 note, which we issued earlier this month. And as you also mentioned, the senior issuance out of our Romanian subsidiary. This was their first Euro benchmark issuance and I would like to thank those investors who participated. For the rest of the year, we expect 1 to 2 senior preferred notes from Vienna and potentially a senior deal out of Croatia. The other MREL needs which you see here for 2026 across our countries are expected to be covered domestically. Moving now to Slide 16 and 17. On the following slides, we have shared our macro update, which I will let you go through at your leisure. Let's turn to our 2026 outlook on Slide 18, and starting with core revenues. We expect 4% to 5% improvements in NII and fees and a similar impact on the OpEx side. We aim for a small improvement in cost/income ratio next year to around 52.5%. The initial guidance on risk cost is around 35 basis points, and Hannes will share his thinking later on. We expect loan growth to continue in line with the positive trends that we have seen in the past few quarters and target 7% growth in 2026. As mentioned, we expect our CET1 ratio, excluding Russia to remain above 15%. For the group, excluding Russia, we expect a stable ROE around 10.5%. On the one hand, we expect improvements in the operating results and few litigation costs on the Polish legacy portfolio. This, however, is largely offset by larger bank levies and windfall taxes as well as the normalization of the risk costs. When we look to the future of the group, excluding both Russia and Poland and illustrated here with the yellow line, we expect to be closer to 12.5%. In this case, the improvements in operating income are not enough to offset the announced increases in bank leverage and the high assumed risk costs. Going forward, however, we continue to expect that the core of the group will sustainably earn 13% and above. And with that, allow me to hand over to Hannes.
Hannes Mosenbacher: Thank you very much, Johann. Good afternoon, ladies and gentlemen, and thank you for spending your Friday afternoon with us here today. I guess that by now, you have seen the numbers, and I will keep it short. We finished the business year 2025, with risk costs of EUR 192 million, down EUR 95 million from a year ago. In basis points, this is a provision ratio of 20 basis points for full year 2025 which I'm happy to report is inside our guidance. Overall, we remain very satisfied with the quality of our portfolio and our nonperforming exposure ratio is at record lows. We continue to make good progress on our workout strategy, as you can see with the further drop in NPE volumes. Beyond NPEs, the trend in the performing book are healthy, and we continue our proactive workout strategy. In Q4, we released the overlays, which we have built up in Russia, where the bank is so well capitalized and the loan book has shrunk so much that the overlays have become redundant. In the core of the group, we have made minor adjustments leading to around EUR 45 million of releases in Q3 versusQ4. Going into 2026, we still have EUR 413 million of overlays available to us, equal to more than 1 years' worth of standardized risk costs. Risk cost guidance for 2026 is around 35 basis points, which, as you know, always includes a degree of prudency this early in the year. I do not need to remind you of the geopolitical turbulences that we have witnessed in 2025 and since the start of the year, which also led us to start the year with a modicum of caution in our risk cost guidance. Away from asset quality, let me touch briefly on Poland, where the trend is clearly improving and where we believe that the worst of the litigation provisions are behind us. The inflow of new Swiss franc claim continues to decline, while the inflow of Europe claims has stabilized. Uncertainties remain, not least coming from the craft law, which aims to accelerate settlements in court proceedings. For 2026, we assume somewhere between EUR 200 million to EUR 220 million of litigation provisions, which is around 60% coming from Swiss franc and another 40% or so coming from euro-denominated loans. Having said all this, we are now more than happy to take your questions.
Operator: [Operator Instructions] And our first question comes from Benoit Petrarque with Kepler Capital.
Benoit Petrarque: Yes, Benoit Petrarque from Kepler Cheuvreux. I've got a couple of questions. So the first one will be on the net interest income. Looking at your guidance and also your loan growth guidance, it looks like you still expect net interest margin to remain relatively stable in '26 and therefore, NII to be mainly driven by volume growth. We see some key rate cuts in '26. So I wanted to check with you if the margin pressure will be indeed relatively limited as per your forecast in '26. The second question is on the operational risk in Russia. I was wondering if it's purely a mechanical process? Or is there any rationale behind or any discussions with the regulator? Do they fear any operational risk from Russia? Or is there any discussions on that item? Or this is pure mechanical adjustment based on your income generated in Russia? The number three will be on M&A. And I think you commented on the fact that you might be looking into Romania. Just wondering if you could update us on your M&A appetite now that, clearly, the group is focusing on its own future. And then finally, on the bank levies, we have a big step-up in '26 in Hungary. And I was wondering if your first look on this is that it's going to be a one-off item, i.e., recovering in '27 or you assume kind of stable high bank levies going forward also in '27, '28?
Johann Strobl: Thank you for your questions. And I start with the NII guidance. I mean, you're definitely right. I mean when you look at the Q4, you might maybe need some 1 or 2 adjustments to get the run rate of the Q4. So there was a minor one-off of minus [ EUR 7 million ] in Czechia. If you add this as part of the run rate and if you then consider that you have at the very end of the quarter, the loan book was really building up, then probably the run rate is closer to EUR 1.70 billion and if you analyze this, okay, here, we assume then also, to some extent, stable net interest margin to 4.3% or maybe a touch less, and then you have a 7% growth again with a net interest margin range of around 2.3% or so, then you achieved this EUR 4.4 billion. Yes, I think the rate cuts are partly still covered by these model books and by investments. On the other hand, I see your point that if competition moves more and more to price topics as well, which as of this point in time, I do not expect at a very intensive level, then it could be that there is some pressure on that as well. But as of now, we are optimistic on that. Hannes?
Hannes Mosenbacher: Johann and [ colleagues ], the question regarding the op risk on Russia. You know that there has been quite some adjustment on the CRR3 and so therefore, we're using the regular op risk approach within the CRR approach where you have 2 main components, the one is the operating income, and you have seen the numbers and also, of course, which must be partly incorporated legal provisions. So it means Rasperia I and II are also now included in the 2025 RWA basis. Thanks for the questions.
Johann Strobl: So then coming to your M&A appetite here, I would -- I hope you understand that I will not comment on recent rumors, but what I confirm is that we have, in some markets interest and would appreciate to participate and also be successful when we participate and the countries are well known. So it's -- Romania is on this list. I always said, Hungary is quite difficult because of the competition, one might expect Slovakia, it's not a must, but still could be of interest. Serbia achieved something, but still, yes, in the past, I also said that Croatia may be difficult, but it would help the development of our bank for sure. Czechia is in these days, very expensive, but it will be good for our development here. So it would depend on the structure. To your question -- to your last question about Hungary, difficult to say. I have no indication that it will continue also in 2027. And I hope it is as I expect. So only '26.
Operator: And our next question is by Ben Maher with KBW.
Benjamin Maher: I just have a couple. That's just on the Czech NII, which was down a lot Q-on-Q. I think you mentioned there was a one-off negative. Can you to give a bit more color on what was that one-off? The loan growth guidance appears quite conservative given you're already delivering close to 6% ex-Russia and you're seeing potentially a positive turnaround occurring in Austria. So I was wondering about just some of the cost of risk [indiscernible], has that just been prudent at the beginning of the year? Or do you expect a slowdown in kind of your wider footprint? And then I was just hoping if you could give any guidance on the overlay usage in 2026. That would just be helpful to kind of frame that.
Hannes Mosenbacher: Well, I may start with the question on the overlay releases. I think what I have said in my statement, the 35 basis points is the guidance what we may use for the regular business, so not just the running business. If things would really [indiscernible] are, we would also be tempted to make use of the overlays, which are being available to us. And a big part of overlays is anyway to be attributed to our Ukrainian operations, and that's the way how we think about using and making use of our overlays. Thanks for the question.
Johann Strobl: Yes. To your Czech question, this was a sort of reclassification between trading result and net interest income. So this is to the small amount, yes, unfortunate. But I think with this correction, we see the right number. So I think if you then add the EUR 7 million, as I said when answering your question before you then get a better understanding of the run rate also in Czechia. Now to your second question, the loan growth guidance of 7% seems conservative. Yes, indeed, we have mixed signals. So we see some loan growth forecast for the overall market, which is even below the 7% from research. On the other hand, I can confirm that given the base what we have so far, it's strong. On the other hand, if you go a little bit deeper than for example, in Slovakia, you have seen an enormous and enormous growth in mortgages. And here, the question is to what extent is this somehow front loaded or how shall I say, the demand came strongly in questionable here if it continues. So the one or the other market might be below this 7% and then in combination. So if it would be a little bit more, we'll be happy and celebrate. But I think, the 7% is to be achieved.
Operator: And our next question is by Mate Nemes with UBS.
Mate Nemes: I have 2 questions, please. The first one would be a follow-up on the risk cost guidance of 35 basis points for '26. Hannes, would you mind elaborating on the drivers of this and then perhaps shedding some light on the conservative assumptions going into this guidance? Where do you feel you've been conservative when issuing this guidance? And which trends you would need to see perhaps to revise this? And the next question is on loan growth, particularly in Group Corporates & Markets. I was just wondering if you could talk a little bit about what sort of loan growth you're seeing in the business? And what is your expectation into '26? And how do you see the outlook for the business in general after a slower period, I think, in the past couple of years?
Hannes Mosenbacher: Thanks again for giving me the opportunity to talk about the risk cost guidance for 2026. I'm really sure you can recall that when we talk about standardized risk cost, we talk at a level of around about 40, 45 basis points. So this would be a through-the-cycle risk cost guidance. So what made us coming in slightly a bit lower with 35 basis points. On the one hand side, as you can see in our macroeconomic outlook, we see in many countries that the macroeconomic environment is getting better, first thing. Second thing, a big part of our portfolio is also being built up on a retail portfolio. And of course, a very, very strong employment rate, a very low unemployment rate in our market is very much supporting a very robust credit loan growth. And secondly, also a really benign risk cost development in the mortgage business anyway, but even more so also on consumer lending. Then we see good demand on consumer lending and some investment needs and ask for money. We have EUR 430 million of overlays. We have EUR 10 billion of significant risk transfers outstanding. And yes, Mate as you said, if all things turn and if I would be terrible wrong with my 35 basis points, we still have our overlay pool available. Hopefully, this gives some hints what was the thinking and the mechanics, how we came to the 35 basis points. And yes, you're right, we again came in slightly below risk cost guidance for the year-end, but I also gave you the reason. One of them was that we have -- that we released our overlays in Russia, and I was giving the background having more capital than loans outstanding, we felt that this is an appropriate time to release the overlay in Russia. Johann?
Johann Strobl: Okay. Now to the GCM, what type of business would we expect also for 2026. So we have -- I have to state -- you are aware of it, but let me state it that GCM is not only Austrian large corporate, but this is our international portfolio. And this comes partly from Austrian customers, partly from customers being in the Western countries, so not necessarily in our core markets, but with a relationship to our markets. And finally, the international customers in the CE countries. Here, we usually support and we split the -- so if there is a local take Czechia, if one has a big demand in one of these loans, then part of it we take also here. And the areas what we do, this can be project finance. We are very proud of something -- I mean, it still in Bosnia, where I say energy part. So it goes throughout the range. I think all of all, quite healthy business. Yes, quite a lot of competition. And if there would more come I would be very happy. So what gives you some numbers what I touched before, I think in corporate, if the -- overall the markets where we are in can achieve from market research, we wouldn't expect more than some 4% to 5%. And we are optimistic that -- and this is built also on the pipeline, what we have or what we are closing to be in the business what we book here. So in the GC&M and yes, the level where we have, we see some markets in corporate where we see in our books where we hope for an increase, which is Czechia, which would be very important. And then also maybe Croatia, okay, it's not big, but it will improve and Romania. Romania has been strong in the recent years. I mean you didn't ask for retail, but let me share some flavor as well. So I think that in the smaller countries, you still could expect double-digit loan growth and in the others, 8%, 9% like this. And if we achieve that, then the combination will be 7%. And if we are lucky, a little bit more. Thank you for your question.
Operator: And our next question is by Gabor Kemeny with Autonomous Research.
Gabor Kemeny: I have a question on your ROE guidance, please. You are guiding 12.5% core excluding any Polish Swiss franc charges. Can you give us a sense of what you expect to drive the expansion towards 13 plus beyond 2026. The drivers that would be interesting. And the other question I had was a technicality on the ROE guidance. I see it on Page 37 that you assume EUR 13.3 billion of average equity for 2026. I believe your end '25 equity core was EUR 13.8 billion. So if you could elaborate on this, why you assume less than that? And the other -- the final question would be if you could give us an update on Russian litigation, please? And what is the likelihood of recurrence of the litigation provisions in the coming quarters?
Johann Strobl: So let me start with the guidance and where do we expect? What are the drivers for 2026, if I may start with this. Yes, if we achieve the net interest income, as I have outlined, then this could be positive for our ROE, maybe by 1.5% yes, and then the others, relatively small fee and commission income, EUR 0.6 billion. Net trading income, which was more or less 0 coming in 2025, coming from credit spread and the one or the other topic, we assume that this negative effects will not reoccur, and then we would be back at around 60, what we usually should have, so 0.5. So if you add these up, you might come to 2.7 improvement. We also -- I mentioned it, have OpEx increase by 4% to 5%. So minus 1.2%, something like this. Other results improving by 0.6, governmental measures, minus 0.5. And then I have the normalization, what Hannes talked about impairment losses, which might be minus 1.5 -- 1.4, sorry. So little bit more income taxes probably. And yes, then we would be at some -- I would have explained I guess, the developments, what you would expect. And as I said, in the coming years, '27, '28, yes. Maybe the one or the other headwind comes from the extra bank tax. We'll see. Of course, here, Croatia is good attitude, but taking example, Austria, there was a tax increase from EUR 23 million to EUR 70 million something, so up EUR 50 million. This was at least still now limited for 2 years. So '25, '26. If they keep and we are aware, they have huge needs, then this should drop by EUR 50 million something. And so one or the other, we talked about Hungary that we still believe or hope that it's this huge increase is a one-off. So part of it comes from the bank levies being reduced. The other part comes from the Polish improvement, where we then hope that the litigation goes down from 200 to 100. And finally, yes, we see a further improvement in the GDP growth in '27 and beyond. And maybe even that then the cycle in some rate decrease, cycle in some countries might still go on in '27, but in others, it might even turn around. So a combination of what we have. Now to your quite difficult question. And here, I -- can I come back to this a little bit later to see the average, it's -- give me a few moments that I find my, here, I would have a look to my notes. Before that, I would come to the other question, which is further litigation and balances in Russia in the coming quarters. That's very difficult to answer for one reason. And the reason is I was negatively, very negatively surprised by the second Rasperia litigation and penalties. And this is really a very negative development in Russia in that area. Because the first litigation, at least from my view, covered everything. So coming back again with a second litigation. Okay. There had been some reasoning which a judge might accept. Economically, it's impossible. That's the negative signal. The positives are that this second litigation is the only one which we have seen and where we say, okay, it's difficult to explain anything else so far did not happen. So this gives us some hope in the balanced view. Now to the equity. It's calculated on '26 budget numbers and did not fully include the year-end and OCI effect. So you are right that we will redo this and give in the course of the time some more detailed information.
Operator: Our next question comes from Riccardo Rovere with Mediobanca.
Riccardo Rovere: Two if I may. The first one is that your NII guidance '26 is up versus '25, about 5%. The loan growth is 7%. So it looks like you embed some margin pressure. Now we've been talking about margin pressure for quite a long time. It has never really come through. I was wondering while all of a sudden, given the rate environment provided the rate environment in consensus expectation and market expectation is kind of correct, why that should happen over the course of '26? And the second question I have is how much of your time and managerial time now is devoted to dealing with Russia after 4 years. Does it take a good part of your working days? Just to be curious on that.
Johann Strobl: Yes. Indeed, when we talk about margin pressure, I think it's very different from market to market. But what you see, what you see is everyone is going for additional customers. We did so one way to achieve this is by whatever offer you can have in mobile banking, whatsoever. And the other way, I think we have been successful is your liabilities part, so offering nice term deposit whatsoever. This can be at a significantly competitive levels. And this is the type of margin pressure what we see. And the other is in the mortgage business. So we have been very successful. Sometimes in some markets, it happens that then for 1, 2, 3 quarters, it's really difficult. This comes and goes. So there is no long-term strategy what we see from competitors, but it's adjusted. And here, when we talk about margin pressure, there is always the uncertainty. Is it just one who has more appetite and keep the others cool? Or are they defending and then -- so this is the core of questions what we have when we talk about -- it's more about -- when I talk about margin pressure. So we have the 2 elements. The one is if the Central Bank rates go down, then of course, the everything what is on the current accounts is under pressure. And here, it depends then on the model books, what we have and the investment books and more of the timing. Still here in '26, we have a positive impact still from earlier hedgings and therefore, we -- I was not so much worried about these developments for 2026. And as I said, the other is coming from these topics of competition. We'll see. And to your second question, management time spent on Russia. It's nowadays mainly me when we talk about potential transactions. And of course, to some extent, then Hannes as being responsible for compliance issues now and then there come topics. But it has reduced significantly compared to earlier years. So I dare to say it's fairly stable in 2025 for we didn't have any questions from authorities on the business. So all these, which are also time consuming has diminished significantly. So not big time anymore.
Riccardo Rovere: Thanks, Johann. If I may get back one second to your competitive pressure statement, why competitive pressure in 2026 should be more as a burden than it has been in 2025. I mean with 7% loan growth that you project, it sounds like with the pie seems to be large enough for many banks operating in those countries. So I was wondering why all of a sudden in 2026, the competition should be heavier than we have seen so far. I mean margins at the very end of the day were kind of stable in Q4. Is there any...
Johann Strobl: You are fully right. If the pie grows by 7%, then I should not be concerned at all. I had seen the one or the other research where I was rather thinking of maybe 5%. And then we -- it would mean that we continue to get market share and then I mean the good thing about Raiffeisen is, the good thing and they're not so good thing. The good thing is that in the big markets, our market share is not that huge. So increasing our market share is not too much painful to others. But you're right, if we see the 7%, 8% growth all over the markets in the loan book, then no need for any margin pressure. So yes, I agree with you.
Operator: Our next question comes from Krishnendra Dubey with Barclays.
Krishnendra Dubey: I think I have 3. To start with, just on Hungary, I guess, there was this big negative in the trading. So how should I think about this in terms of the rate cuts or no rate cuts that's going to happen in Hungary? That's the first. Second question is around the dividend payout. I believe the payout this year is around 40%. And then I guess you have a bigger range, which is 20% to 50%. For the future years, how should we think about the payout? And aligning to the ROE question, just trying to understand when you're trying to guide to greater than 13% ROE, does that have inbuilt some M&A or like reduction of capital via buyback or anything? Or is primarily like outside the scope? And the last one is on -- just on the M&A, just staying on the M&A bit, I guess you had in last 5 years, you had 2 acquisitions, one in Serbia, one in Czech Republic. If you could remind us like what was your cost takeout or what are the cost synergies that you were able to extract from those deals?
Johann Strobl: Yes. Thank you for your questions. I probably did not fully get your question around Hungary. Was it just to confirm, was it again on this increased bank tax? Or I didn't get your first question?
Krishnendra Dubey: On the trading part, like the negative was bigger this quarter. And so just trying to understand like on the trading result, it was a bigger negative compared to the -- or the first 3 quarters. So what was driving it?
Johann Strobl: Now, I understand. I -- there is -- this is a valuation issue, and it comes from what the Hungarian calls baby loans. So this is sort of subsidized loan where the banks had to take over the part of the subsidies, which came from the state. And yes, this led to a reduction of the profitability of this product, which had to be considered in the valuation and therefore. So it's not trading what you presume from the typical capital markets trading also, but it's a valuation from this loan book, the baby loans. To your second question, the dividend payout. Yes, we are close to the 40% this year. And if we assume that maybe this for '26, you would keep this or so, then you might go up slightly. A couple of more cents might be possible. I mean our current thinking is we will see over time that when we -- it's too early to say now, but probably when we talk about Q1 we might have deducted a dividend of EUR 1.8 something of pro rata, but look, it's still January. So a little bit early to speak about this. In the -- all the targets what we give are without any impact on M&A. So it's pure organic what we had. And yes, it -- what we could say is in the recent M&A activities, what we did in Serbia and in Czechia, we could take out a considerable part of it. So you always say some -- what could be depending on the 50% maybe even more, depending on the overlap in the branches and so a couple of things. But you could -- if it's like -- it's quite similar to what we have in the geographic and local footprint and then it might be even more than 50% of the cost base maybe up to 70%. And yes, the second part is there are also some positive synergies. So why we would also like acquisition is it's -- what we have found in the last few months, it was very inspiring for the organization. So the organization itself improved also quite a lot. So it has not only the cost synergies, but here, there are some more benefits. Thank you for your questions.
Krishnendra Dubey: I was just asking about this, the impact that you highlighted on the op-risk RWA, like earlier if you would deconsolidate it, it would go away. So does that mean if you deconsolidate the impact is going to be bigger ?
Johann Strobl: Yes, yes, sorry. So you were talking about the deconsolidation of Russia and when will we lose the -- was this your question, the operational risk RWAs? So as Hannes tried to answer, it's in the, let's say, worse of base case, we have to assume that it's a very formal process, which over a period of 3 years, it reduced. We have currently a significant amount of this, not just consider this from EUR 2.6 billion to EUR 3.9 billion. So this EUR 1.3 billion adds to 30 basis points. So you can easily figure out what it means, but this means also that over 3 years, CET1 ratio, which is now decreased in January 1 from 15.5% to 15.2% should every year like-for-like increase by this 30 basis points over 3 years. If the regulator would be generous, it could grant us also within 1 year, but we report the very cautious one.
Operator: We'll go next to Benoit Petrarque with Kepler Capital.
Benoit Petrarque: Just to follow up on 2 questions actually. First on Hungary, the elections there. I mean, what do you expect? And could that change also your view on the local business depending on the outcome? I mean, is that a catalyst to think for '26 for RBI or not? And then just on Rasperia, the court case, what is your strategy? And why are you waiting now to file a claim and how long you will take to take a decision there?
Johann Strobl: Yes. I'm -- to your first question, I'm not a political expert. So I read, of course, I read, and we have many sources which say their outcome might be close or there might be a change or not a change whatsoever. I think what -- I don't know what could be the difference is that maybe funds would flow easier if a regime change would come. We'll see. But our view is quite political. And we -- as we want to term there. And we of course, we always adjust to the situation, but it would not -- it does not change overall the direction. As I said earlier, I mean, for Hungary, it's important that we grow our retail business. So I believe we have a good corporate business and the mix could be a little bit more to the side of retail. And this dates back that for years, we were -- I dare to say, underperforming. We -- I think we more and more fix these issues. Recently, we have found some very attractive offers for our customers. What is also important when we talk around business, we're back in mortgages where we haven't been there for a long period of time, quite a lot of room for us to improve, but the '26 was quite good. And if we can build on that, then I think over time, it will independent from the elections go. I have no forecast now if there would be a governmental change if this significantly would then at the end of the day, change the windfall taxes and whatever we have. This is always to be seen then later on. Yes, I think that's currently the bad situation in Europe that banks are used to compensate for too much spending from governments. To your second question, the strategy and why we are waiting to file the claim. Look, the point is like this. There are 2 different views on this claim. And let me start with the Rasperia 1, the Russian 1. From the Rasperia perspective, they say, you have received the claim on the shares. And from Russian perspective, you have even received the shares. And for that reason, don't sue us, neither in Austria nor somewhere else. You have the shares. And if you're not able to get the share stock to your governments to Brussels whatsoever, but don't sue us. Because if you sue us, we might perceive this that you want more. You have the shares and you want more. Now the challenge is to find an understanding that we do not want more just the compensation for the claim. And as we are not able to solve this with, as I said in my incoming statement, now we need to file a lawsuit. Now I don't know if we can reach an understanding with Rasperia, which would take off the risk of anti-suit injunction what we currently face in Russia or not? We have a 3 years' time, definitely, if we neither get the unfrozen nor the agreement, the understanding with Rasperia and okay, I would recommend to my successor to file. So there is no reason to give up. The question is only can we get compensation for the damage without taking the risk of more damage? Or is it yes -- but we will, at some point in time, we will have to file a lawsuit if [ Russia ] does not defreeze these shares.
Operator: We'll take our next question from Simon Nellis with Citi.
Simon Nellis: Actually, one of my questions was around the Rasperia case, so I got an answer there. But actually, I'd be interested in any thoughts on the outlook for Russian earnings going forward. I know it's not something you tend to do, but there's obviously a portion of the market that thinks peace might occur, and this business will have value in the future. So any kind of broad brushed comments you can make on the outlook. And I guess related to that, are you looking to kind of further reduce the exposure of going forward and by how much?
Johann Strobl: Yes. So when we talk about Russia, look at the balance sheet, what we have. So we don't grant new loans, so there is a runoff. The corporate portfolio, the runoff was around, I think, 90% or so. So there is a small amount there. And then you have the mortgage business, which is running off as well. But yes, according to the repayment schedule, there is, for the time being, no reason for the customers to early repay. The mortgages were granted in an rate environment, which was significantly lower than what we have now. So these are fixed.
Operator: One moment, ladies and gentlemen, we have lost our phone line. We are reconnected. Go ahead, sir.
Johann Strobl: Thank you. So Simon, I was -- I don't know when I dropped out. But coming back to your question and with the first part, I try to be shorter, so we have the runoff of the loan book from there, less and less will come. So the main earning comes from the money which is the surplus liquidity as well as the equity, which both are placed with the Central Bank. And of course, with the declining interest rates, the revenues will decline. The second part is -- and this is a little bit more difficult to forecast. You see that we make still some money in trading. So from the FX business, and here, this comes with international payments. And as we are restrictive there as well, it's a question of time to what extent we are perceived still as a partner in that field. So it's -- but I would say the bigger part comes from here, what you see as a future interest -- key interest rate from the Central Bank. And we still would expect some outflow in deposits, which might also reduce the surplus liquidity, which is placed at the Central Bank. So declining revenues with -- mainly driven by the key rate reduction. Yes, sorry. The second was the future outlook of Russia. It depends purely on the -- on 2 things, I would say, peace in Ukraine. This would be very important. And for us, the most important part, the second part is then what is the position of the Europeans because you see, we have all these restrictions from the European authorities. And it's unclear to what extent the Europeans will adjust. I think if there is peace, the rest of the world definitely will adjust relatively fast Europeans come to see
Operator: [Operator Instructions] As there are no further questions at this time, we will now conclude today's conference call. Thank you for your participation.
Johann Strobl: Thank you all to the participants for your time, your interest.
Hannes Mosenbacher: Thank you very much. Goodbye.
Johann Strobl: Have a good afternoon. Bye-bye.
Operator: You may now disconnect.